Operator: Greetings, everyone. Welcome to Bridger Aerospace Group Holdings, Inc. Common Stock Fourth Quarter and Fiscal 2024 Investor Conference Call. As a reminder, today's call is being recorded. It is now my pleasure to introduce your host, Mr. Eric Gerratt, Chief Financial Officer. You, Mr. Gerratt. You may begin. Good afternoon, and thank you for joining us today. Joining me on the call this afternoon is Interim Chief Executive Officer, Sam Davis, and Senior Vice President of Finance and Capital Markets, John Founders. Before we begin, please note that certain statements contained in this conference call that do not describe historical facts are forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Since forward-looking statements are based on various assumptions, risks, and uncertainties, actual results may differ materially from those expressed or implied by such statements. Factors that could cause results to differ materially from those statements include, but are not limited to, those discussed in the company's filings with the US Securities and Exchange Commission, including expectations regarding financial results for 2025. Management cannot control or predict many factors that ultimately impact future results. Listeners should not place undue reliance on forward-looking statements, which reflect management's views only as of today. We anticipate that subsequent events and developments will cause our assessment to change. However, we undertake no obligation to revise or update any forward-looking statement or to make any other forward-looking statements. Throughout this afternoon's earnings release and call today, we refer to the non-GAAP financial measure adjusted EBITDA. The definition, calculation, and reconciliation to the financial statements of adjusted EBITDA can be found in Exhibit A of our earnings release, which is available on our website. We believe adjusted EBITDA is useful in evaluating our reported results as a supplement to and not a substitute for results reported under GAAP. With that, I'd like to turn the call over to Sam.
Sam Davis: Thank you, Eric. We are extremely proud to announce our fourth quarter and full year 2024 results, which exceeded revenue guidance and were within our adjusted EBITDA guidance range. With two of our scoopers deployed into November, we saw a $14.5 million increase in fourth quarter revenue to a record $15.6 million, bringing our annual revenue to a record $98.6 million, up 48%. This was the latest our scoopers have ever remained in the field and the longest deployment in Bridger's history. We continue to see the wildfire year starting earlier and lasting longer, driving increased demand for aircraft. In fact, one of our scoopers logged over 400 contract hours this year, a record for Bridger scoopers. Importantly, we generated over $9 million of cash from operating activities in 2024. This is a significant milestone for Bridger. For the first time, we have achieved positive cash flow from operations, and we intend to improve upon this in 2025. I'm extremely proud of our operations team and pilots who quickly mobilized to assist in the wildfire fighting efforts in California in January, completing required winter maintenance and preparations in record time, with Bridger's adoption of year-round readiness to combat the persistent threat of wildfires across the country. With two scoopers being deployed to California in mid-January, we marked the earliest scooper deployment in company history. With fires this year from the Palisades to Long Island, Carolinas, and now Texas and Oklahoma, the concept of a fire season is no longer relevant. While every year is unique, 2024 was a more active wildfire season than we saw in 2023, consuming 8.9 million acres compared to 2.7 million acres in 2023 and slightly above the five and ten-year averages. And 2025 is already off to an early start. Just this week, we have deployed two scoopers to Oklahoma, which will be joining our multi-mission aircraft, which has already been deployed since mid-February. We also recently sent an additional air attack aircraft to Texas, where dry conditions make the current risk of wildfire high. This is in addition to the recently announced five-year $20 million contract with the US Department of the Interior, which will send two air attack aircraft to support fire and resource management activities in Alaska. Currently, the wildfire outlook for the Texas Panhandle, West Texas, and Southeast US remains high. Per the National Interagency Fire Center or NIFC, significant wildfire potential will be seen throughout most of Texas, and parts of New Mexico and Arizona, and several southeastern states through March and into April. Our targeting of multiyear and exclusive use contracts serves to guarantee overall revenue by monetizing utilization in response to year-round wildfire threats. Maximizing the number of these exclusive use commitments will help to ensure our fleet remains dedicated to critical wildfire response efforts with the goal of maximizing price and flight hours. We are actively looking for additional opportunities with states to provide exclusive use for our firefighting assets and are optimistic that current budgeting and planning cycles will lead to future opportunities. While these arrangements are good for budget, they are also paramount for states against the backdrop of government agency contracting lags and budgeting delays. We do believe on the heels of Texas last year and California this year, there are growing calls for regulatory change as well as an increase in appropriations. We are aware of over thirty bills in the works in Washington, making us optimistic that change is underway. It is also important to note that fighting wildfire is a nonpartisan issue. Fighting wildfire remains a growing threat across the US, and its devastating effects impact people of every political affiliation, leading to increased support from all parties. Turning to SMS, as a reminder, we closed the acquisition in June, and they contributed $3 million in revenue over the first six months of our ownership. SMS is partnering with Bridger on aircraft modifications to solidify our competitive edge and incorporate leading-edge sensor technologies to enhance performance, reliability, and safety. We are seeing a number of contracting opportunities primarily with the DoD, in active bids that Bridger and SMS are uniquely positioned to respond to. This will enable us to further diversify our customer base and add more year-round revenue to grow the business. A quick update on Ignis Technologies. As we mentioned last quarter, Ignis launched its mobile platform to support firefighters in the field. We have several counties, crews, and incident management teams highlighting the app. As we move forward, many of these organizations are expected to transition to a subscription-based model for the 2025 wildfire season, with flexible pricing based on organization size and features. A major focus of ongoing development is linking Bridger real-time sensor imagery within the Ignis app, creating a seamless data flow from air to ground. This capability promises to unlock new levels of situational awareness, supporting multi-mission aviation contracts, enhancing both operational effectiveness and safety. Turning to the four Spanish scoopers, which are owned under our partnership agreement with Mab Funding LLC. The return to service work by our Spanish subsidiary, Albacete Aero, is on track. The first aircraft has received a certificate of airworthiness with the EASA, and the second aircraft is expected to receive flight acceptance in the next sixty days. Both are expected to be ready for the 2025 wildfire season. The other two scoopers are scheduled to be ready, albeit later in 2025. We remain in discussions with multiple parties, primarily in Europe, to source operating contracts. Once contracts are in place, we will then determine how best to bring these high-margin assets into the business. As we look ahead to 2025, we are optimistic that the opportunities we have in front of us will drive organic growth and revenue, increases in adjusted EBITDA, as we continue to focus on cost rationalization efforts and asset utilization. Drive another year of positive cash flow. Let me now turn it back to Eric who will talk about our financial performance for the quarter.
Eric Gerratt: Thanks, Sam. Looking at our results for the fourth quarter of 2024, revenue increased to $15.6 million from $1.1 million in the fourth quarter of 2023. While revenue has historically been lower in the fourth quarter, as Bridger schedules annual fleet maintenance activities after the US wildfire season, and in preparation for the following season, revenue for the fourth quarter of 2024 benefited from the deployment of two scoopers into November. Revenue in the fourth quarter of 2024 also benefited from related to return to service work performed on the Spanish scoopers by our subsidiary Albacete Aero, part of our partnership agreement with Mab Funding LLC. Cost of revenues was $15.4 million in the fourth quarter of 2024 and comprised of flight operations expenses of $5.8 million and maintenance expenses of $9.6 million. This compares to $8.4 million in the fourth quarter of 2023, which included $4.7 million of flight operations expenses and $3.7 million of maintenance expenses. The predominantly pass-through costs related to the return to service work for the Spanish scoopers, approximately $4.8 million, and the addition of SMS, which was acquired in June of 2024, also contributed to the increase in Q4 maintenance expenses. The increase was also partially due to increased depreciation maintenance, and travel expenses tied to higher utilization in the field. Selling, general and administrative expenses were $7.7 million in the fourth quarter of 2024, compared to $18.6 million in the fourth quarter of 2023. The decrease was due to lower non-cash-based compensation expense in the fourth quarter of 2024 compared to the fourth quarter last year. The decrease was also partially due to lower professional services and non-cash impairment charges associated with our plan to phase out our use of certain aging aircraft that we recorded in the fourth quarter of 2023. For the fourth quarter of 2024, we reported a net loss of $12.8 million or $0.36 per diluted share, compared to a net loss of $31.1 million or $0.67 per diluted share in the fourth quarter of 2023. The reduced loss was primarily driven by increased fleet utilization in the fourth quarter of 2024. Adjusted EBITDA was negative $2.9 million in the fourth quarter of 2024 compared to negative $10.4 million in the fourth quarter of 2023. A reconciliation of adjusted EBITDA to net loss is included in Exhibit A of our earnings release distributed earlier today. Due to seasonality, the company typically generates a net loss of negative EBITDA in the first and fourth quarters each year. Looking at our results for 2024 for the full year, revenue grew 48% to $98.6 million from $66.7 million in 2023. Revenue for 2024 included approximately $10.1 million related to the return to service work performed on the four Spanish scoopers as part of a partnership agreement with Mab Funding LLC. And approximately $3 million from the company's June acquisition of SMS. Cost of revenues was $57.5 million for 2024, which was comprised of flight operation expenses of $31 million and maintenance expenses of $26.5 million. Cost of revenues for 2023 was $41.3 million and comprised of $24.4 million of flight operation expenses and maintenance expenses of $16.9 million. SG&A expenses declined to $35.8 million in 2024 compared to $82.9 million in 2023, which included non-cash stock-based compensation expense of $45.7 million for RSUs, and compared to $14.4 million in 2024. The decrease was also partially attributable to a decrease in the fair value of our outstanding warrants and higher professional services and other expenses associated with becoming a public company in 2023, compared to 2024. Net loss was $15.6 million in 2024, compared to a net loss of $77.4 million in 2023. Adjusted EBITDA for 2024 doubled to $37.3 million compared to $18.7 million last year. Turning to the balance sheet, we ended the year with total cash and cash equivalents of $39.3 million, which was up from $33.3 million at the end of September 2024. Benefiting from the strong third-quarter performance for which cash was received in the fourth quarter. With that, I'd like to turn the call over to John to discuss our 2025 guidance.
John Founders: Thank you, Eric. 2025 is off to an early start with the deployment of two of our scoopers in January to support the fires in California. As Sam mentioned, we also have deployed two scoopers to Oklahoma, one MMA plane to Oklahoma, and one air attack plane to Texas. While it is difficult to forecast our business this early in the year, there does appear to be a lengthening of the wildfire season beyond the historically strong third quarter. We also expect to generate more year-round revenue with the 2024 acquisition of SMS Aerospace, the addition of non-aerial firefighting contracts, and our strategic targeting of state contracts that provide guaranteed standby revenue helping to reduce volatility. With that said, we are taking a conservative approach to 2025 guidance with the bulk of the wildfire season still ahead of us. Our current guidance excludes any impact from the acquisition of the Spanish Super Scoopers at this time. Our initial 2025 guidance assumes revenue of approximately $105 million to $111 million. The majority of that is organic and is based on our six Super Scoopers, and eight MMA and aerial surveillance aircraft. We will benefit from a full year of SMS Aerospace, which contributed $3 million in revenue over the course of six months in 2024. It's important to note that return to service work performed on our Spanish Super Scoopers by our Spanish subsidiary, Albacete Aero, which amounted to just over $10 million in 2024, is projected to be approximately 50% of the 2024 amount in 2025. As a reminder, the return to service revenue is largely pass-through, and as such, any decrease in RTS revenue will contribute to further expanding adjusted EBITDA margin. As we conclude contracting for our initial two Spanish Super Scoopers and determine how to best deploy them, we will update our guidance. For 2025, adjusted EBITDA is expected to range from $42 million to $48 million, also before any potential impact from the Spanish Super Scoopers. 2025 should benefit from additional cost rationalization efforts, including the exit of certain subscription maintenance programs, and increased operating leverage. As a result, we will also expect to generate another year of positive cash from operating activities in 2025. As a reminder, given the company's largely fixed cost structure and the seasonality of its revenue, Bridger Aerospace Group Holdings, Inc. Common Stock still expects to generate the majority of its adjusted EBITDA in the third quarter during the bulk of the wildfire season. And despite the early start to the wildfire season, given the company's largely fixed cost structure and heavy Q1 maintenance activities, Bridger is expected to generate negative adjusted EBITDA in the first quarter with the bulk of adjusted EBITDA anticipated in the third quarter. With that, I would like to turn back the call to Sam for final comments.
Sam Davis: Thank you, John. 2024 was a record year and one that we believe is indicative of Bridger's resilient dedication to the mission of fighting the pervasive threat of wildfires. We flew 652 missions in sixteen states and dropped 8.8 million gallons of water on 385 fires. This led to revenue of almost $100 million and the doubling of our adjusted EBITDA to $37.3 million. As of the end of 2024, we are in compliance with all of our debt covenants, and we will have the going concern disclosures removed when our 10-K is filed in the coming days. As I look ahead, I'm incredibly proud of our team, and I'm honored to be able to continue to lead them as we focus on our unwavering mission to protect lives, property, and the environment. From early detection using our sensor-enhanced air tag, preventing lightning strikes from becoming larger incidents, command and control providing overwatch on an incident, to dropping water to suppress large fires and support firefighters on the ground, Bridger is a critical piece of the nation's aerial firefighting response network. And we continue to be ready to answer the call to our federal and state government clients in the growing battle against wildfires while generating returns to our stakeholders. With that, we will open up the call to questions.
Operator: Thank you. Ladies and gentlemen, our first questions come from Austin Moeller of Canaccord who forwarded his questions via email due to connection issues. Gentlemen, the first question, what can you tell us about the delivery and operational cadence of the Spanish Scoopers in Europe for the fire season relative to your most recent expectation?
Sam Davis: Thank you. I'll go ahead and take this. As I mentioned earlier in my script, the Spanish scoopers are all on track with their maintenance schedules, and the first has received a certificate of airworthiness as of the second week of February with EASA. And the second is on track to receive its certificate of airworthiness within sixty days. So we expect those two aircraft to be ready for the fire season, and we are in negotiations for a contract in Europe to put those two planes on fire. The addition of the other two, we anticipate being ready within the season, maybe at the early of the season or the end of the season. And we believe that those two can be added to those contracts as they come online. But we'll continue to monitor the progress as the return to service is completed for those. I'll go ahead and take the next question.
Operator: Certainly. Thank you. Gentlemen, how do you feel about your cash balance and do you expect it to be sufficient to support working capital and operations in the US and upgrade of the Spanish scoopers and their initial operations in Europe?
Eric Gerratt: Eric, do you wanna take this one? Sure. So we feel really good about where our cash is at this point. So we ended the year with available cash of just over $39 million. And so between that cash and kind of upcoming operations, we're very comfortable that we have sufficient cash to fund, you know, any working capital needs as well as our operations in the US. In terms of the Spanish scoopers and funding their upgrades, the funding for those upgrades actually comes from the partnership with the Mab Group. And so those upgrades are actually funded from the partnership versus from our available cash. So again, we feel really good about the cash position we have going into the year. Okay. Next question.
Operator: Certainly. Gentlemen, does the revenue guide for 2025 reflect the fact that we are looking at a full year continuing resolution before the fiscal year 2025-2026 budgets are passed? And how have the California fires impacted your conversations with congressional lawmakers and state governments?
John Founders: John, would you like to take this? Yeah. Great question. In line with our conservative guidance, our revenue guidance for 2025 envisions funding at the same level as prior years. We have not factored in any increases in appropriations for the 2025-2026 budget cycle. And any additional funding or appropriations for the 2025-2026 budget cycle would be upside to our current guidance. In regards to the impact of the California fires on state and federal outreach, we've seen increased interest and contracting opportunities at both the state and federal level. And we believe that there are continued opportunities there as a result of California fires and the ongoing fires in South Carolina and the potential in Texas and the Panhandle. So increased interest in contracting opportunities at both state and federal level. Thank you for the question. Can we move on to the next question?
Operator: Certainly. Our final question, how would you expect lower fuel prices and travel costs to affect open and flight operations costs and is this reflected in your guidance?
Sam Davis: Yeah. I'll go ahead and take that one. We did not reflect that into our guidance. We kept a conservative estimate for fuel based on what we saw last year in fuel prices. And also tied to our utilization that we have budgeted for the year. We perceive that to be potential upside for us if we see a reduction in fuel prices throughout the year. And as a reminder, most of our fuel, at least for our scooper operations in the field, are borne by the customers. So really, training and our air attack fuel costs are really all that we see run through our P&L throughout the year. But again, potential upside for us as we see that trend continue. And I believe that wraps up our question and answer period. So I will go ahead and close the call. Thank you again for joining our call today. We look forward to updating you on our progress when we report our Q1 results in May. We will also be attending the ROTH Conference in California on Monday, the seventeenth. Hope to see some of you there. Anyone has any follow-up questions, please reach out to our investor relations. Thank you, and have a good day.
Operator: Thank you, Mr. Davis. Again, ladies and gentlemen, that will conclude today's Bridger Aerospace Group Holdings, Inc. Common Stock fourth quarter conference call. Again, thanks so much for joining us, everyone, and we wish you all a great remainder of your day. Goodbye.